Operator: Ladies and gentlemen, thank you for standing by, and I would like to welcome you to the discussion on Text's Q2 2025-2026 KPI Conference Call. The call today will be hosted by Marcin Droba and Lucja Kaseja from the Investor Relations department. [Operator Instructions] So without further ado, I would now like to pass the line to Lucja. Please go ahead, ma'am.
Lucja Kaseja: Good afternoon. Thank you for participating and for your interest in our company. Today, we will mainly focus on discussing the operational data presented in our current report, but we will also say a few words about our new product, Text App, which had its official premiere on September 30 at the context event dedicated to our clients. We warmly invite you to watch the recording available on YouTube. Until recently, we did not actively promote Text App on text.com, yet we already secured our first paying customer, a key internal milestone to validate the process. We know the product works. We use it ourselves, and it is -- and it already supports more than 700 organizations in their daily operations. The past quarter was challenging as summer is seasonally weaker for acquisition. In addition, we concentrated our efforts on Text App amid persistently difficult market conditions. Beyond macroeconomic headwinds, changes in content search and the way Google presents search results, they have impacted not only our acquisition channels, but also our customers. We are adapting to these changes, acquiring, for example, clients coming from LLMs, but we are still in a period of continuous transitions in this area. At the same time, we note improvement in payment volumes and increasing the share of larger customers with MRR above USD 500 in our business. The group already accounts for more than half of our business, a trend that should have a positive impact on our future metrics. As you can see on Slide 6, for the past 1.5 years, our key metric, MRR, has remained relatively stable. The trends we observed in this regard also remain unchanged. Significant declines in the number of smaller customers are being offset by increases in ARPL, average revenue per license, while declines in LiveChat MRR are offset by growth in newer products. The past quarter, July to September -- yes, to September was relatively weaker compared to several previous ones, although it was expected that the summer quarter would be more difficult. During this period, we recorded a decline in MRR compared to previous quarter. This result should not come as a surprise since in the quarterly report, we stated that MRR was decreasing after the first 2 months of the quarter, although it still remains higher than a year ago. All products recorded an increase in ARPL, which did not fully compensate for the decline in the number of LiveChat customers. For this product, however, September was positive with customer churn falling below 4% for the first time since November 2024. At the same time, acquisition of smaller clients still has not improved. A small technical note here. We have not changed the definition of MRR compared to previous quarters. However, we want to emphasize that MRR does not include per usage payments whose role in our business will grow. We will include them only if they are prepaid. Currently, such payments do not exist, but customers will gain this option in the future. In terms of payments received, we see improvement compared to the previous quarter, which raised concerns among some of you. We achieved USD 22.24 million in payments. Quarterly fluctuations continue to reflect varying levels of annual payments within the mix. Once again, Slide 8 shows you the growing share of larger customers in our business. We reached an important milestone here. Customers with MRR of USD 500 or more already account for more than half of our MRR. Another positive trend is the growing share of customers paying for more than 1 Text product in total MRR. For many months, we have been seeing strong and steady growth in organizations using 2 or 3 or 4 of our products. Year-over-year, this increase is as much as 11 percentage points. This demonstrates our transition from a single product company to a multiproduct suite provider. Looking ahead, many of these organizations will migrate to Text App, which integrates LiveChat, ChatBot, HelpDesk with additional AI-driven automation. That is all we have to show today in terms of KPIs, but we would also like to briefly discuss Text App. The vision for suite class solution has been years in the making. After purchasing text.com in late 2022 and rebranding the company in 2023, since September this year, text.com has finally become a new customer acquisition channel for us, and we have a suite class solution. To make this happen, however, we had to do enormous work, both in terms of development and in implementing very difficult structural changes. The migration process to a new cloud infrastructure took a year and preparations lasted even longer. In our reports, you now see higher costs related to this area. But for us, it is a key investment, ensuring stability, reliability, allowing us to offer better products while removing the technical limits that previously restricted us. Naturally, we are -- we ourselves became the first user of Text App. Since June, we also started inviting selected customers to use this solution. It is worth mentioning that Text App is evolving and will continue to develop. At the end of August, we conducted a soft launch. Without marketing spending or communication campaigns, we simply placed our solution online for trials. The first organically acquired trials were meant to confirm whether the onboarding system works, whether we are communicating its value well and whether the first user understand it. And although we achieved our internal goal by acquiring our first organic paying customer by the end of September, we see a lot of room for improvement. The sales funnel requires optimization, conversion improvement and nurturing. This is not a negative thing. It is a normal part of the business, and we launched Text App softly precisely to gather such insights. We are already introducing changes based on the experience, and we'll start promoting Text App, initially very carefully and with controlled spending. Already, however, we see the number of trials growing. On one hand, we are satisfied and optimistic. On the other hand, we want to state clearly, we need time before text.com becomes a major customer acquisition channel. This is not a task for 1 or 2 quarters. The most important thing for us is that we know Text App works and works well. Although, as I said, we will keep developing and refining it. We know this because we use it ourselves. And currently, over 700 of our customers also use it. The feedback is very positive. We do not want to take up too much of your time. You will surely have questions. If someone has not watched context yet, we warmly invite you to spent 12 minutes watching the keynote. Here is an approximate preview of the new app, as you can see, very modern, and importantly, for our clients, a neat one. Let's recap. Text App brings together in one place and one experience, the functionalities of LiveChat, HelpDesk and ChatBot. But it is also a solution built with native AI in mind, the text intelligence and a major role of AI agents who can handle customer interactions, but also effectively act as members of our clients' teams. They help find information, can chat, assist in using our product features. Also, workflows are now part of the experience. Another very important part of our offering is the MCP Server, which allows Text App to be connected with an external AI assistant. We also offer outbound campaigns, enabling clients to take initiatives and actively communicate with their customers. One of the clients testing Text App from the very beginning has actually multiplied their chat volume and chats from many of our clients directly translate into revenue. The whole idea behind Text App is to be a tool that drives business growth for our customers. Another key area is quality, which is ensured, thanks to the new infrastructure. The new solution also comes with new pricing, important in light of changes in our philosophy. Our market is evolving quickly, including in pricing standards. LiveChat has a rather simple pricing model, pay per agent or, so to say, pay per user, its advantage is simplicity. In Text App, we are introducing elements of pay-per-value or pay per usage models. This approach is actually becoming increasingly common. On one hand, the client pays for actual use and results. On the other, the provider earns more, but only if they deliver real value. The system also protects against situations where significant costs generated by a client are not covered by the price of the product. The price is available on text.com, but please remember, it will evolve and change. On Slide 15, we show some fundamental differences between LiveChat pricing and Text App pricing. In LiveChat, the use of AI features is included in the per agent price, and there are no payments directly tied to such elements as usage or data storage, which actually generate costs on our side. These elements, of course, appear in Text App pricing. In the near future, customers will receive communication from us regarding migration to text app. This will be done in groups. Plans and prices clients currently pay will remain the same as before. However, in the future, this will change. And of course, clients will be informed well in advance. We will, however, remain flexible in this regard. This may also be a good moment to mention that at the beginning of the week, we changed LiveChat prices. In starter plan, the per agent price increased from USD 24 to USD 25 and the annual payment dropped from USD 20 to USD 19. In the team plan, the increase was $10 from $49 to $59. And in the case of annual payment, it meant an increase from $41 to $49 per agent. And in the business plan, it was an increase from $69 to $89. And in case of annual payment, $59 to $79. These changes actually apply to new and returning customers. And that's all from us. Thank you for listening, and let's move on to Q&A session.
Operator: [Operator Instructions] Okay. We have our first text question from [ Futipor ]. Based on the company's prediction for 2026, 2027, what is the expected approximate number of active paying users of the Text App?
Marcin Droba: Thank you for the question. So unfortunately, we are not sharing any forecast at this moment, any financial guidance. So we are also not sharing our forecast of -- in that area also. So sorry, very good question, of course, but it will depend not only on how we will be able to build channels of acquisition for text.com, but also on how fast we decide to move our current customers to the new application, which is definitely something we start to do already. So sorry, unfortunately, we are unable to share such expectations in that area.
Operator: We have another text question from [ Francesco Bracchi ]. Is the cloud migration completed when the former architecture will be dismissed? At that point, the infrastructure cost will be reduced?
Lucja Kaseja: Thank you for the question. Let me answer it. Yes, the cloud migration has been completed during the quarter. We're still -- this quarter, we still see some -- we will still see some of the costs from the previous cloud provider. However, what is important, the new infrastructure that we have now, it also has an addition of some of the features, functionalities that we haven't had in place previously. So actually, although the cost of the previous provider will drop, the infrastructure costs will be at the similar level to the ones as in the past quarter.
Operator: [Operator Instructions] Okay. We are seeing no further questions at this point. Apologies. We have one another question from [ Dennis Berger ]. What's the feedback from customers on the new Text App?
Marcin Droba: Dennis, thank you for the question. Yes, of course, the gathering feedback was the most important part of the last month and last few months. And generally, as a role, the feedback is very, very positive. Definitely, when we're showing the vision of what we want to achieve, what we'll be able to do to offer, the answer is very, very positive. And I'm happy to say that in 100%. And of course, the trick is in the details. Obviously, we migrated a part of our customers also in trying to make some tests. And of course, there were some hiccups, there were some mistakes. There were some things we had to improve. So obviously, that's a lot of work. But if we think about vision, how this new application actually is sorting things, organize things, how it feels, is like, is great. Some of the customers were from this initial testers of the Text App had some problems with migrating all the custom things that they did some additional works that actually make in order to organize the work, to make the work more smooth. So that definitely was some challenge. One of the most important feedback from our point of view was the fact that some of other testing customers were able to successfully improve chatting experience and raise number of the chat, which is particularly important because the number of the chat is that very important KPIs, obviously, for us. And for some of the customers, these chats translate directly to money. So that was, I would say, very important positive feedback from these tests.
Operator: Okay. We have another question from Dennis. How is the sales pipeline for larger customers looking like with the U.S. sales team in particular? Any new large customer in the U.S.?
Lucja Kaseja: We have the team in the States, but actually also the team from Poland, they travel quite a lot to different conferences. And they are quite satisfied with the outcome. So they are getting the leads, but also that translates into new clients. Of course, the definition of large customers depends on what you exactly mean, but we have been able to convert this quarter, one of the leaders in one of the industry. Though as we have discussed in the -- actually the Polish part of the presentation, we were not prepared to share the names of those customers. What is important, we have this very -- we are looking at the effectiveness of the team and of the cost of having such team on the -- and the deals that they are bringing. So this is something that is important to us that they are effective. And what we've seen is that it is actually in the U.S., quite important to be able to have this face-to-face contact with the customers and having the person in the U.S. actually makes it much easier to meet such clients. So we are basically quite happy with what the U.S. sales team is doing.
Marcin Droba: Maybe one -- just one small note from me in that area. We are finalizing works on SOC2 certification, which is extremely important in that area. When we look at what was important from our point of view, what we had to improve, what we had to prepare from our side, we are finishing the work on our side, which means we on the final part of that process. We are now looking for the final auditor for these certifications. Exact timing will depend on from this auditor, from also even from the tools this auditor will going to use. But that is very important. And although this implementation of SOC2 is also related to some costs, we actually we had in pipeline deals, we're actually waiting for this certification and actually the value of these deals already is -- will cover that related costs.
Operator: Okay. We have another text question from [ Philippe Wayland ]. The payments for HelpDesk seems to decrease in second quarter. What is the reason?
Lucja Kaseja: They are slightly lower in Q2, but more or less on a similar level to the one from the previous quarter. Actually, it is -- for our case, it's the usual thing that the summer months are slightly worse in terms of the new client acquisition. So there is nothing in particular changing here.
Marcin Droba: So MRR of HelpDesk is definitely growing on the rise. And if you're seeing that MRR is growing and the payments are decreasing, that means that always the fault, that the reason is actually in the annual payments. It means that probably previous quarter was very strong that the share of the annual payments was higher than average. That's all actually. And that's happening if you look at the whole group level, not only at the HelpDesk.
Operator: Okay. We have one another text question from [ Vodimir Galavich ]. What is forecasted impact of new prices on 2026 MRR?
Marcin Droba: I can't see -- actually, I don't see that question. So it's about new LiveChat prices, yes? Or the Text App pricing?
Operator: It's just what is forecasted impact of new prices on 2026 MRR...
Marcin Droba: So I will assume that the question about -- on LiveChat prices and feel free to correct me and ask additional questions. It will be definitely positive. That's what we're doing. That's the plan. But it also -- it will be somehow limited. Why? Because it's -- this change will actually affect only new and returning customers. So this change is not addressed to the whole customer base, to the whole LiveChat customer base. Probably it won't be wise to now change prices for that group as we plan to migrate them to Text App and change the pricing once again, we don't want to really bother the customers more than we have to. So it's not -- there will be no jump as you saw in our history when we were changing prices for the whole customer group, it will be limited. It will be so month by month in our results, in our KPIs. But at the same time, please remember that turnout when you look at our customer base is high. So actually, that part of our business, we always was actually even at the best times when we actually were acquiring a lot of new customers on net level every month. So actually, we always work on high numbers. We are losing a lot of customers each month, and we are getting still, we're getting still a lot of customers each month. So from that point of view, it's something positive now.
Operator: [Operator Instructions] Okay. Looks that we have no further questions. So I will pass the line back to the Text team for their concluding remarks.
Lucja Kaseja: Thank you very much for the participation in today's presentation and for the questions. If you did not have the chance to look into context keynote speech, we will play it right now at the end of the conference call. So once again, thank you for your time and enjoy. Thank you.
Marcin Droba: Thank you. Thank you very much. Bye.